Operator: Good morning, everyone. Before we begin the official remarks, I will read the cautionary note regarding forward-looking information. Certain information to be discussed during this call contains forward-looking statements within the meaning of applicable security laws, including among others, statements concerning the company's objectives, the company's strategy to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates and intention, and similar statements concerning anticipated, future events, results, circumstances, performance, or expectations that are not historical facts.  Such forward-looking statements reflects management's current beliefs and are based on information currently available to management, and is subject to a number of significant risks and uncertainties that could cause actual results to defer materially from those anticipated. Please refer to the cautionary statements and the risk factors identified in our filings with CEDAR and EDGAR for a more detailed explanation of the inherent risks and uncertainties that could affect such forward-looking statements. Following the presentation, we will conduct a Q&A session. I would now like to turn the conference call over Tal Hayek, the Co-Founder and Chief Executive Officer of AcuityAds to update you on the operations of the business.
Tal Hayek: Good morning, everyone. My name is Tal Hayek, and I'm the co-founder and CEO of AcuityAds. It is my pleasure to welcome you all to our Q1 2022 Investor Video Presentation, and I’m coming to you live from our Toronto office. I'd like to start by thinking the Acuity family, Q1 was a lot about reorganization and working hard to implement the investments that we earmarked for growth. So thank you for doing such an amazing job on that.  As expected, Q1 was down 13% to $23.8 million. A lot of it was due to customer concentration, we’ll drill down into that in a few seconds. illumin continues to change the world of advertising. We delivered $7.9 million in revenue, that's up 145% from Q1 of last year. illumin is now 33% of our revenue. That's starting to be a very big chunk of it. illumin solves two huge problems out there. Problem number 1, that there's a huge gap between the way that marketers think and plan to the way that programmatic gets executed, while marketers think consumer journey. And when they go to execute it, they usually execute it in a black box, which completely disregards the consumer journey. So illumin gives marketer a way of planning of consumer journey and execute it with one click of a button.  And the second problem that we solve is the fact that it's highly, highly intuitive and easy to use. Let me explain, using a programmatic system today, will you need to be a highly trained expert. You'll need to go through hundreds of hours of training in order to only starting to touch that system and then will take you hours to execute on a campaign. With illumin, all that goes away, you need barely any training on it. It's highly intuitive and almost any average person will be able to execute campaigns on it with very little knowledge and training in minutes. So with those two reasons -- those two things that its solving, it becomes a very, very important tool for the world out there.  While in Q1, our team was focused on organization, Neil, our new COO is doing an amazing job, getting the teams to work together and being accountable to one another. Elliot, our CFO is doing an amazing job, fantastic job in organizing our back end. And I believe that this organization is crucial, very much crucial to take us into the next level of growth.  Our investments in growth are doing very well and the team is very, very busy implementing all these dollars we earmarked for that growth, and we're expecting that at least for our financial we will see the results coming in the second half of the year.  Well, knowing all this, we believe that Acuity is the best investment we can make. And this is why we're starting to buy back our own shares. And we're going to do that while still leaving enough cash in the bank for M&A discussions.  In Q1, $23.8 million was delivered from a way of revenue. As we expected and as we go to market, this order is going to be down year over year. One of the major reasons that happened is in Q1 of the year before that we had one client with 5 million concentration, while we lost that client, it was not due to performance, it was due to that client changing agencies with an agency we don't have a relationship to. That happens in the managed size business sometimes, and that's what happened to us in that case. And that was the big contributing factor to that job.  Well, 33% of our revenue in Q1 came from illumin, well, I think it's amazing. I mean, just -- that illumin just came into the market just a few quarter ago and we already have 33% of our revenue coming from that. We communicated in the past and I'll say it again, I do believe that this year, the majority of revenue is going to come from the illumin side. So that's great news for Acuity and for us.  So we're also seeing some client information. So last year in Q1, we had 17 clients. It's now up to 61 clients. Tier one clients we had eight and now we have 20. So all our -- all our great signs out there. And we went up from 3.2 million in revenue last year to 7.9 million this year, that's 145% both for year over year. And we're looking forward to seeing those numbers grow in the future quarters as well.  Some of the verticals to watch out for is the ladder in gaming, we're seeing 288% growth. Technology and software 180% growth, and retail we have 117% growth. CTV sales up again, not a big surprise. We communicated all the time that we believe it's going continue being a very much, a big growth factor. We've seen 131% growth year-over-year, and we predict that we're going to continue seeing more and more growth out of the CTV side in the future. Continue to invest in illumin growth we're spending more and more money into marketing and sales, but also specifically in specific verticals and in our people from the product side, from the technology side as well to get better on that great support system for illumin.  Let's talk about our share buyback program. This is something we took a long time to decide. We looked at many companies on the M&A side, and obviously seeing our share price being where it is, we decided to execute on it. Why, because we do believe that Acuity is the best investment we can make. So therefore, over the next few days, we're starting the buyback program. And I'm happy to also say that it'll not affect our ability to execute though on M&A side.  So with all that great update, I would like to call on Elliot to share some financial updates for us.
Elliot Muchnik: Good morning, and thank you for joining us today. While today we'll focus on Q1 results, we're extremely excited about what lies ahead in 2022, as we realize the benefits of our actions to expand our reaching capabilities. The investments we started making last year are continuing to enhance our illumin platform through broader features and functionality that will prove each user's individual experience. This is extremely important as our illumin platform is the foundation for deeper, broader, and more consistent relationships with our clients.  While we are all experiencing one of the more trying times for the global economy and managing through the related headwinds, we continue to believe the right path for us is to keep investing for the future, improving our platform, making sure that we have the right team in place to support its growth and as well as improving our overall organizational capabilities. And on that note, I'd like to discuss our Q1 financial results.  In Q1, our revenue was 23.8 million compared to 27.5 million, in the same quarter of 2021, a decrease of 13.5%. As disclosed in our financial statements under segmented information, this year-over-year change is attributable to a large one off campaign that we benefited from in Q1 2021. This campaign generated 5 million in revenue that we did not see again in 2022. And this campaign was driven by legislative changes during the height of the pandemic. Well, to a large degree we have successfully -- from verticals initially impacted by COVID-19 and the supply change issues.  We have seen a number of clients impacted by more recent developments in Ukraine as well as growing recessionary fears, which have impact consumer confidence. And our revenue from our managed services in Q1 is 15.8 million compared to 22.3 million in Q1, 2021, a decrease of 29% year-over-year. And in addition to the impact of the large concentrated campaign, the decline was driven by increased focus on self-serve revenue, which at 8.1 million increased 56% year-over-year from 5.2 million in Q1 2021. Our self-serve component represented 34% of total revenue in Q1 2022 versus only 19% in Q1 2021. And illumin in Q1 this year was 7.9 million or 33% of our total revenue versus 3.2 million, or 12% in the comparable 2021 period. Our target is still to have 50% of our revenues derived from the illumin platform by end of year.  Our gross profit or net revenue was 11.9 million in Q1 compared to 14.4 million in Q1 2021. This decrease of 17.4% was the result of the lower overall revenues and a lower gross profit margin of about 50% in Q1 2022 versus 52.4% in the prior year quarter. This is directly related to the increase in our self-serve component.  Our total operating expenses for quarter totaled 14.5 million compared to 12.1 million same period in 2021, an increase of 19.8%. As a percentage of revenue, our operating expenses are 61% versus 44.2% in Q1 2021.  I'd like to discuss the key drivers of this increase, which include as previously noted, investments in sales, in our market capabilities while still early, as Tal noted, we are encouraged by the progress being made by our recent hires and expect that they will meaningfully contribute to the second half of 2022. And the majority of the increase in cost was driven by general and admin expenses, which increased 1.6 million or 106% over Q1 2021. This is driven almost entirely by the increase in costs, related to our NASDAQ listing, including insurance, listing fees and legal costs.  And finally share based compensation expense increased 71% through the issuance of restricted share units to better align senior leadership and management compensation with interest to our stockholders.  Our EBITDA declined year-over-year to 0.2 million from Q1 2021 of 4.5 million as a result of the factors I just described. And as a result of that loss for $4.5 million of this quarter compared to net income of 1.4 million in Q1 of 2021, and a key driver contributing to this decline was an FX loss of 1.8 million in Q1 of this year versus a loss of only 0.6 million in Q1 of the prior year. And I'd like to note that following the quarter end, this loss was largely reversed.  For the balance sheet, we generated positive Q1 cash flow from operations of 1.8 million. However, due to the impact of the FX conversion, our overall cash balance declined slightly to 99.6 million from the 102 million at the end of last year. Year-over-year, our cash position increased substantially by 72.6 million due to the proceeds from our public offering in 2021 as well as strong subsequent operating cash flow.  Some of the corporate information to share with you is as of March 31, 2022 Acuity had 60.9 million common shares outstanding, on a fully diluted basis 64.4 million. Our insider ownership is still at approximately 12% and our market cap at the end of Q1 was approximately 240 million.  This concludes my financial review. And in summary, despite a challenging economic environment, we believe that through our actions, we're putting in place a strong foundation for future growth, especially for game changing illumin platform, expanding efficiency, managing operating expenses and maximizing cash flow remain key objectives, but the overarching priority is building a platform for growth for the second half of 2022 and in subsequent periods.  And before I hand it back to Tal, I'd like to say a little bit more about our share buyback plan. As you know, we have recently announced and have received TSX approval to commence a normal course issue bid, which will launch on May 16th in 2022. Over a period of the next 12 months in subject to TSX’s rules and guidelines, we will be purchasing up to 5.5 million shares of the market. And during blackout periods, we will engage with our agents through an automated stock purchase plan, which of course is subject to further TSX approval. And with our solid balance sheet, history of strong operating cash flow and belief that our current market value does not fully reflect the future value of our company, we believe this is an appropriate and effective use or our capital at this time.  In order to our strong balance sheet, we remain committed to exploring acquisition opportunities as we continue to make progress on that front, and while we are seeing multiple potential opportunities, given the current economic landscape, we believe the multiples for potential targets will start to move lower in the near term. And it's important to note that this normal course issuer bid is not a hurdle to this focused strategy.  And with that, I will now hand it over Tal for his concluding remarks. 
Tal Hayek: Thank you, Elliot, just before we go into Q&A, we're going to go over a few closing remarks. Q1 was all about implementing some of the investment we earmarked into growth, which we're busy doing that, and also about reorganizing the team and getting us ready for the next level of growth. If I may remind you $11 million this year's was in -- earmarked for growth, 70% of that was for marketing and sales and we’re on the way to making all those investment.  As we shared last time, we believe that we're going to see 20% to 25% top line growth this year, and the majority of it is going to come in the second half. So with all that I'd like to thank all of you for joining us today and again, to the Acuity family for delivering this quarter. And we're going to go into Q&A now. 
Operator:  Your first question comes from Aravinda at Canaccord. 
Aravinda Galappatthige: So I'll jump straight into it. Tal at the end there you talked about  2022. I know that, conditions are tough. I mean, it's not just about supply chain, we're seeing recessionary fears and so forth. If the conditions remain tough, would you perhaps reconsider the spend or given that you've likely hired most of the team right now that spend is probably going to go through regardless. Why don't you get your thoughts on that? 
Tal Hayek: You're talking about the investment. 
Aravinda Galappatthige : Yes. 
Tal Hayek : Look, I think the investment is very important in order to grow and to get more and more of the illumin adoption out there, so. But while I'm saying it, we're also doing it in stages. So we did not spend everything we earmarked for. And if we, for some reason see that we're not expecting the same results, we have the ability to scale it back and not to spend the whole thing. 
Aravinda Galappatthige: And then maybe connected to that, my second question. I know that we -- you're probably getting to sort of the latter stages of the sale -- the ramping of the sales team, still early days, but is there anything that you can provide in terms of feedback with respect to the incoming talent? I know they were coming in with books and maybe some of the initial conversations you're having at the tier one clients, anything that stands out that you can share? Tal.
Tal Hayek: So first of all, I know that everybody's aware how hard it is to get talent out there, right? So sales people -- good sales people it was always hard and now it's even harder, but we have something very unique right now. Something we never had before, we have the illumin. So, we are getting people that we would normally not be able to get, and they're very excited. And so far by the numbers, we increased our sales team by 26%. So I would say we're doing very well. We're very happy with the results and the type of people we're going in.  Like I've shared before, people that coming in with -- it's not only that they're coming in with a book of business, they're coming in with a lot of excitement on illumin and they want to be a part of it. So I'm very, very happy with the progress. So that's why we're so excited about the future and the growth. Because we know that every time you make investments in those sort of things, there's a little bit delay and then it pays back. 
Operator: Our next question comes from Laura Martin of Needham and Company. 
Dan Medina: It's Dan Medina calling in for Laura. Hi guys. Hope you're well, and thanks for taking the questions. My question -- sort of two questions, are that in the last quarter, you had called out some slowness in a couple of your verticals, particularly in travel and hospitality. And so before I ask my question, I would say that some of your verticals are showing great potential, and so congratulations on that. But my question is that, going back to you're calling out travel and hospitality last quarter, what are you seeing for this quarter? And what do you – what are you seeing for say the rest of the year? That's question one.  And then question two, is that on the -- on the G&A absolute spend side, does it -- should we be at that level of spend going forward for the rest of 2022? And thank you for taking the question. 
Elliot Muchnik: No, no problem. So I'll take the first one. You'll take the second. So travel entertainment, that's one of those things that you see, everybody's traveling now and still that sector is not spending a lot of money. Again, it's just a guess, my guess is that they're filling up seats without needing to advertise. I'm trying to book tickets, uh, for flights and everything is full all the time and prices are way more aggressive than were used to. So, that's my assumption and it's going take a little longer until they're going to have to start fighting for customers again. But obviously, it's going to happen. It's a matter of time, we still seen more growth in Q1 on the travel side of things. And we expected to continue growing more aggressively in the future. As just a reminder, it used to be 30% of our business, and it's nowhere near that now.  Tal, if you’ll answer the second one.
Tal Hayek: Thank you, Dan. And the short answer to your question is that is a consistent level of spend for us in the general and admin. Majority of that is fairly steady through the year because it is pertaining to listing insurance and other things that are smoothed out over the year as per proper accounting. We did have more professional fees in the beginning of the year, of course, because of some of the -- we have the year-end audit and other things, but for the most part, that is the consistent rate spend. 
Operator: Our next question comes from Rob Goff of Echelon Wealth Partners. 
Tal Hayek: Rob. Thanks for joining us. You are on camera too. 
Rob Goff : Thank you. Good morning. Sorry about the camera. 
Tal Hayek : No, we appreciate it. 
Rob Goff : With respect to your revenue guidance, it was very nice to hear you’re continuing to look for 20% to 25% on the year. Could you perhaps give us a little bit of visibility into what you were seeing in the second quarter in building through the year? 
Tal Hayek : Like, generally speaking, the whole idea was of making those investment that we started doing in Q4, at the end of Q4 and then into Q1. And there's a ramp up period. Usually it's a longer ramp up period, but in this case because we brought in very seasoned people, the ramp up period is shorter, but we do expect the majority of it to hit the second part of the year. And not only that, our existing sales team is also doing a phenomenal job getting more contracts out there, longer contracts, bigger contracts. And so everything is really going in the right direction. 
Rob Goff : Thank you. And if I may ask with respect to illumin. Could you talk to what you were seeing, where you were seeing greater traction with Tier-1 accounts to the extent you are seeing traction with legacy clients migrating onto illumin, just a little bit of profiling there of the momentum will be appreciative. 
Tal Hayek: Yes. So we haven't concentrated on moving legacy clients over. I mean, there are some that are doing it naturally, but that's not our focus. So the majority of the revenue we're seeing on illumin is still from people that came into the system because of illumin. And we did realize that our sweet spot in people that are using it are the mid-size agencies and brand. And they're the one that's adopting faster. They're using it faster. And to be completely transparent and honest, I think we have to do work on the sales side when it comes to enterprise selling. It's not something that is in the DNA, and we're working on getting it into the DNA. And I believe we have a great opportunity there. 
Operator: Our next question comes from Eric Martinuzzi of Lake Street Capital Markets. 
Eric Martinuzzi : Just had a question regarding the gross margins, I understand it's a mix issue, but could you remind us again, the gross margin differences between the two sides of the business? 
Tal Hayek: Yeah. Self-serve and managed? Self-serve is around 55. And – sorry, the other way around, manage is about 55 plus, and self-serve is around 30. 
Eric Martinuzzi : And do you expect those to change at all or is it really just the revenue mix throughout the year? In other words, your media costs, any change in the media cost? 
Tal Hayek: I don't expect any huge changes. I mean, at the end of the day, if we sign a huge contract on the self-serve side, there might be some pressure on the margin, so it could happen, but then the revenue that would come with it will be very big as well. 
Eric Martinuzzi: And then, I wanted to get a little bit more granular on the revenue forecast. I understand you're reiterating the 20% to 25%. That is a big step up. I know you're making investments to support that big step up, but how should we think about the second quarter? Is this -- are we growing in the second quarter year on year? Is it single-digits? Double-digits? 
Tal Hayek: Well, obviously, we're growing in the second part of the year. You are talking about second quarter, sorry.
Eric Martinuzzi: Second quarter. 
Tal Hayek: Yeah, second quarter, I wouldn't say we have a clear direction on that yet. So I would focus on the second part of the year. So that's Q3 and Q4. And this is where we're seeing the growth coming in. 
Operator: Our next question comes from Dillon Heslin of ROTH Capital Partners. 
Dillon Heslin: First on illumin. Like you talk about that being the majority of revenue by the end of the year, like in 4Q, what sort of dollar run rate do you think that actually implies? 
Tal Hayek: Well, I think it's going to be over 50% and I hope it's going to be more than that, but that's the way it looks as its trending. If you can see even every quarter we're increasing the percentage of illumin over the entire revenue. And so I believe it's going to be more than 50%, but we're hoping that way more than 50%, I mean, the whole idea is what we would like to do and the things that we're building within illumin to be able to start moving more and more of our existing clients into illumin and eventually, we want to eliminate the -- to eliminate the old system. 
Dillon Heslin: I mean, like, if I can just sort of follow up on that? Like, the 20% growth is -- gets you sort of like 145. So I mean 50%, it's not for the year, right? It's like exiting for two year at 50%? 
Tal Hayek: Yeah, the run rate at Q4 should be over 50%. 
Dillon Heslin: And then, I mean to get there, like how much visibility do you have with those illumin sales? Like how much needs to come from new customers and new products versus what you already have? 
Tal Hayek: Well, the majority of what we're seeing in illumin is we're bringing in new clients onto it all the time, so. And the entire company today sells it. Nobody really sells the old product. So, it's a combination. It's a combination of increasing clients spend existing ones. I would say, also legacy customers that are moving into illumin and then spending more as we’ve seen in the past and bringing in new clients on board, which happens on a regular basis. 
Operator: I am seeing no more questions in the roster. So Tal and Elliot, I will hand it back over to you for final remarks. 
Tal Hayek: Thank you, Daniel. And thanks to all, the Bankers, Analysts joining us today and all our investors for all your support. And everybody's looking forward to the second half of the year. And again, thank you for joining us this morning. 